Operator: Welcome to Gannett's 2017 Third Quarter Financial Results Conference Call. At this time all participants are in a listen-only mode. Later we'll conduct a question-and-answer session. [Operator Instructions] And as a reminder, this conference call is being recorded. I would now like to introduce your host for today, Stacy Cunningham, Vice President, Financial Planning and Analysis with Gannett.
Stacy Cunningham: Thank you very much. Good morning, everyone, and welcome to Gannett's third quarter 2017 earnings conference call. As a reminder, this call is being recorded. Joining us today from Gannett are Bob Dickey, President and Chief Executive Officer; Ali Engel, Chief Financial Officer; John Zidich, President of Domestic Publishing; and Sharon Rowlands, Chief Executive Officer of ReachLocal. Before we begin, I would like to call your attention to our Safe Harbor provision for forward-looking statements in our financial results press release. The Safe Harbor provision identifies risk factors that may cause actual results to differ materially from the contents of our forward-looking statements. For a more detailed description of the risk factors that may affect our results, please refer to our financial results press release and our SEC filings, including our 2016 Form 10-K. Also, during this call, management's comments are going to include non-GAAP financial measures. Reconciliations between GAAP and non-GAAP metrics for our reported results can be found in the tables of our financial results press release, which we have posted to our Investor Relations website at investors.gannett.com. This conference call is being webcast and is also available through the Investor Relations website. With these formalities out of the way, I'd now like to turn the call over to Bob Dickey.
Bob Dickey: Thanks, Stacy and good morning. Our solid third quarter results demonstrated strong year-over-year improvement in profitability and accelerating digital revenue growth. Our transition from print to digital continues across our organization via compelling digital content initiatives, advertising -- digital advertising growth and digital marketing services growth. ReachLocal had a very strong quarter with top line growth and significant profit improvement, further delivering on our expectations from the acquisition completed one year ago. Print advertising continues to be challenging and was below expectations for the quarter, however, we continue to manage our legacy cost structure aggressively to offset the revenue headwinds. Overall our third quarter results keep us on track to realize our expectations for the full year. During the last earnings call, we outlined our strategic vision for becoming a daily destination for consumers and marketers seeking meaningful connections with their communities across print, digital and other channels. To execute on this vision, we are focused on our B2C initiatives, which include growing and expanding our consumer audience and engagement. We are also making further headway with our B2B offerings, strengthening relationships with our advertising and marketing partners, including building out our digital marketing services as part of ReachLocal. These efforts will be supported by both organic product development as well as acquisitions. And to enable the necessary reinvestment in our digital future, we are maximizing the economic value of our print business. Let me highlight some of the progress we made in executing on our strategy during the quarter. On the consumer side of the business, our audience reached record levels in September at 125 monthly uniques, as measured by comScore. We were the second highest ranked company in comScore's news and information category ahead of Yahoo!, ABC News and NBC News Digital, and only behind CNN. Our strong performance was the result of multi-platform, network-wide reporting efforts and strong growth off platform with Apple News, Facebook Instant Articles and Google app. The recent rollout of Google app across our local markets is already showing strong results in search and social referral traffic. We had several important multi-platform, network-wide reporting efforts that I'd like to mention. Led by our Phoenix team, in early September, we launched a landmark multimedia report that examines in great detail President Trump's campaign to build a wall on the U.S. Mexico border. The experience encompasses virtual reality, aerial and 360 degree video, documentaries, photos, podcast, exclusive reporting and an upcoming long-form film. The Wall project is a great example of our focus on innovative storytelling that creates new engagement opportunities with our content. Out of Cincinnati, we produced an in-depth investigation into the heroin epidemic that was a result of a strong collaboration between the sales and news teams to brainstorm cause marketing ideas, and it resulted in an advertising sponsorship with a new client. Our Florida and Texas properties coverage of Hurricanes Harvey and Irma was groundbreaking with its use of drones to report on the damage. Our reporting out of Guam has been a tremendous asset for the USA TODAY NETWORK as Guam has quickly made national headlines given tensions with North Korea. We continue to believe strongly in our journalistic mission and are proud of the amazing work produced during the third quarter. [Technical Difficulty] as our audiences in new and different ways, we expanded our events business in the third quarter, and we're pleased with both the level of attendance and revenue. In partnership with Martha Stewart, we held a food and wine event in Detroit that had 1,400 attendees and participation from 29 restaurants. We held 18 other lifestyle-related events during the quarter and have 10 more scheduled for the fourth quarter. Earlier this month, we announced a majority investment in Grateful Ventures, an online media and publishing company, which focuses on building lifestyle content and monetization strategies for high-influence food and cooking websites and bloggers. This investment is squarely in our strategy of expanding our audience, especially beyond our traditional news audience. With the investment, the Grateful team will expand their food and cooking presence, and also launch into new lifestyle categories with long tail content, video, live interactions and event integrations. We're very excited to have the talented and experienced founders, Kyle Cox and Justin Rainbow, join the Gannett family as we work to provide original, high-quality content to high-fashion categories. To improve user experience and engagement, we launched a new mobile website for USA TODAY during the quarter that leverages our new modular and adaptive universal web platform. We have seen more than 38% growth in times spent on articles after reducing perceived page load times by 25%. And importantly, the higher engagement and better-balanced display ads are driving continued strong growth in mobile advertising revenue. We'll be starting to roll out the new mobile website to our local markets in the fourth quarter. Shifting to our success on the business-to-business side, we had a very strong quarter in digital marketing services. ReachLocal generated solid revenue growth over second quarter levels and significant improvement in margins. These gains were due to the scaling of the Gannett-related revenue and increasing client spend with our other North American clients. Part of our strategy is growing client spend via cross-selling and encouraging clients to use multiple ReachLocal products, including search, social, website development and location services. As the third quarter results show, we are seeing our sales strategies really taking hold. Sharon will speak more to ReachLocal's quarter in a minute. We also had a very strong quarter with our national digital display business, which runs across our entire network. Our national sales team delivered 24% growth from the prior year quarter in premium sales, driven by growth in CPMs, new business and overall solid client retention. On the programmatic side, we saw 30% growth year-over-year with strength in our programmatic direct and private marketplaces business. We continue to see traction converting print dollars into digital campaigns, leveraging our broad suite of digital advertising products, including branded content and our high-impact Gravity ad units. All based on the strength of depth and reach of the U.S. Today Network. In the quarter, we had particular success in the financial services category. In our local markets, we continue to enhance our sales approach, leveraging our entire product suite including print, digital display, digital marketing services and branded content. Using our full service digital agency go-to-market strategy, we are attracting new clients and signed large multi-month commitments in key advertising categories such as education, health and home care. Our revenue, especially digital from large local businesses, continues to grow because we are delivering strong ROI for this set of clients. Despite the generally more positive trends we are seeing from our large local businesses, our performance in print, overall, trails our expectations for the quarter. The local and national preprint categories were soft with continued pressure from department stores, big-box retailers and grocers. We also continue to see high churn among our smallest print accounts. We are aggressively developing plans to better serve these clients and extend their buy into digital, with our suite of ReachLocal products. Last quarter, we mentioned the rollout of our frequency print pricing program. There is a ramp related to the adoption and implementation of this program by our sales team, but we are now starting to see results. In September, for the first 15 markets that rolled out the program over this summer, we saw significant outperformance in their print revenue trends. We expect continued momentum with the program as we head into the quarter. Turning to circulation, we are seeing better-than-expected results from our second quarter home delivery pricing initiative. We have seen fewer cancellations than expected and our home delivery volumes held steady in the down 11% range for the quarter. We believe these preliminary indications bode well for the more aggressive pricing that began in late September, and is continuing into the fourth quarter and next year. Based on prior testing and our experience with past pricing actions, we're focused on those customers in our subscriber base who, we believe, offer the most opportunity. These customers include our most loyal subscribers who are willing to pay a premium for print home delivery, which helps to offset broader volume decline. With that, let me turn it over to Sharon for an update on ReachLocal.
Sharon Rowlands: Thank you, Bob. So quarter 3 was an exciting quarter for ReachLocal with continued momentum across the business. Globally, our revenue grew 9% sequentially over 2017 second quarter with notable increases in North America and Asia Pacific. North America, again, had very strong performance with 11% revenue growth over the second quarter, and we saw strong growth from both our direct local and national channels. We did experience some continued pressure in a few international markets and are executing our plans to address performance there. Our first quarter results marked the second consecutive quarter of strong sequential revenue growth. We've continued average revenue per client growth and increased penetration of new solutions into our client base. Our social advertising solution continued its trajectory with 9% unit growth from the second quarter, and our subscription solution saw a 7% unit growth. During the quarter, we completed the migration of the former Journal Media Group property on to the ReachLocal platform. We are now finished with all migration activities and all Gannett clients are able to take advantage of the power of the ReachLocal technology and service model. In total, 3,500 clients campaigns have been migrated. And across these migrated campaigns, we continue to experience significant improvement in quality scores and other key performance metrics on behalf of those clients. In fact, 96% of migrated clients are getting a better cost per click now that they are on the ReachLocal platform. During the quarter, we also completed the primary integration efforts on the SweetIQ acquisition. Recall that the SweetIQ platform offers location and listings management and reputation management services. The business is performing well with a monthly run rate of subscription revenue at the end of quarter three, up 10% over the end of the prior quarter. We added 26 net new major brands in the quarter, and we've already seen cross-sell into both Gannett and ReachLocal client basis. I'm also enthusiastic about our SweetIQ product roadmap, exciting things to come there. With the great momentum of a successful Gannett client migration and SweetIQ product integration, we turn our attention to leveraging the large footprint of Gannett local properties to drive strong digital growth. As I referenced last quarter, we're also excited to have completed the launch for our new client-centric tool, which provides consolidated reporting on performance of campaigns across all of our services. This tool will soon include reporting for display advertising that appears on Gannett-owned and operated local sites. This new client-centric tool not only brings our clients a better experience, but it also helps synthesize servicing them. We've seen already great signs of success with this rollout with the four times increase in engagement across our user base over our prior system, signaling enhanced utility and providing many exciting client-retention opportunities. Our fourth quarter expectations are for continued strong revenue growth sequentially and continued scaling the business, with more flow-through to the adjusted EBITDA and margin. We have a very comprehensive range of world-class digital marketing solutions and extensive local footprint combining Gannett local properties and ReachLocal direct and agency sellers. And together with the digital DNA brought to the company by ReachLocal, a significant opportunity lies ahead of us. We are delighted to have joined Gannett just over one year ago, and our plan of capturing greater market share by serving an in-store base of local and national partners is yielding significant returns. With that, let me turn the call over to Ali.
Ali Engel: Thank you, Sharon, and good morning, everyone. Our financial results for the third quarter demonstrated an acceleration of digital revenue trends and profitability from second quarter 2017 results. Consolidated revenues were $744 million compared to $772 million in the 2016 third quarter. This year-over-year performance reflects the challenged print advertising and circulation environment, partially offset by the contribution from acquired properties. On a same-store basis, total revenues declined 9.4% in the third quarter, an improvement compared to the 10.6% decline in the 2017 second quarter. Excluding the year-ago deferred revenue adjustment related to the purchase price accounting for the ReachLocal acquisition of $6.7 million, total same-store revenue declined 10.2%. There was a $1.4 million negative impact in the quarter from hurricanes that impacted our Florida and Texas operation. Total digital revenues of $245 million represented 33% of total revenue in the period and include the contribution from the acquired ReachLocal operations. We completed the acquisition of ReachLocal on August 9, 2016, so there was a partial period contribution from their acquired operations in last year's third quarter. Adjusted EBITDA totaled nearly $74 million from the -- for the quarter, up 27% compared to $58 million from the prior year period. The $16 million year-over-year improvement was driven by profit growth at ReachLocal, partially reflecting the aforementioned year-ago deferred revenue adjustment and a strong cost performance at our publishing operation. Total same-store adjusted operating expenses were down approximately 12% year-over-year as we continue to benefit from synergies related to our 2016 acquisitions of Journal Media Group and North Jersey Media Group, lower newsprint expense and production and distribution savings due to facility consolidations. In the Publishing segment, we saw improved trends on the digital side of the business in the quarter. Same-store digital advertising revenues grew 4% year-over-year in the 2017 third quarter, an improvement from the flat performance in the 2017 second quarter. We saw a return to growth in our digital marketing services business after the transition impact in the second quarter and continued strong growth in the mobile, audience extension and video categories. We have particularly strong digital performance in our national business with robust growth in premium direct sales and programmatic sales, as Bob noted. Same-store print advertising revenues trailed our expectations and declined 18.7% year-over-year, as compared to a 16.8% decline in 2017 second quarter. While our frequency print pricing program has started to show some traction, we saw weakness in some of our key categories of grocery, furniture, health and entertainment. Additionally, national print advertising performance in both our local markets and USA TODAY reflects continued softness from department stores, mainly within preprints, telecommunications and sports. Circulation revenues showed a mixed performance in the quarter with trends improving at our domestic local properties, but weakening at USA TODAY. At the domestic local properties, same-store circulation revenue trends improved, down 6.4% year-over-year in the third quarter versus a 7.6% decline in the second quarter, reflecting the benefit from the second quarter from delivery pricing actions. The impact from our more aggressive subscriber pricing actions that began in mid-September will be felt more in the fourth quarter and into 2018. Despite the second quarter pricing actions, local home delivery volumes held relatively steady in the quarter, down in the 11% range. Digital-only circulation volume growth was robust in the quarter, up 60% year-over-year. Revenue growth was more muted at 4%, reflecting some discounting activity. At USA TODAY, circulation revenues weakened in the quarter as some hotel customers scaled-back volumes. In our ReachLocal segment, third quarter revenue came in at $93.8 million or a 9% sequential increase over the 2017 second quarter. Migrated Gannett clients contribute to about 3% of that growth. North American ReachLocal revenues grew 11% while international revenues grew 2%, compared to the 2017 second quarter. Second quarter adjusted EBITDA at ReachLocal was $5.2 million and margins reached 5.6%, a material improvement from the 1.4% second quarter margin that was impacted by investment spending related to transitioning the Gannett client. Our net income for the quarter was favorably impacted by a onetime net tax benefit of $20.1 million. The tax benefit resulted from the tax write-off of worthless stock and debt in certain ReachLocal foreign entities. The magnitude of the benefit made the effective tax rate for the quarter and year-to-date not meaningful. On a GAAP basis, we anticipate the effective tax rate to be effectively zero to slightly negative for the full year. On a non-GAAP basis, we maintain our guidance of an effective tax rate range of 30% to 32% for the year. Capital expenditures for the quarter totaled $17 million, reflecting investments related to digital product development as well as projects supporting our ongoing facility consolidation. Our ending cash balance was $110 million and our outstanding debt on our revolver was $375 million or net debt of $265 million. We paid $18 million in dividends during the quarter and repurchased 2 million shares of our common stock at a total cost of $17 million. Given our continued solid operating performance, we are maintaining our revenue guidance range of $3.15 billion to $3.22 billion, and our adjusted EBITDA range of $360 million to $365 million. As a reminder, consistent with others in the publishing industry who report on a 5-4-4 calendar, we do have an extra reporting week in the fourth quarter of this fiscal year, which has been factored and included in our full year range -- our full year revenue and adjusted EBITDA guidance ranges. I will now turn the call back to Bob.
Bob Dickey: Thanks, Ali. I wanted to take a moment to comment on another announcement we made this morning. John Zidich, President of Domestic Publishing and Publisher at USA TODAY, will be retiring from Gannett effective April 3rd of next year, after more than 40 years with the company. As a colleague and friend, I want to personally thank John for his tireless leadership throughout his career. John has had an esteemed career with Gannett. Since June of 2015, when John was named President of Domestic Publishing and Publisher of USA TODAY, he has had oversight of all domestic publishing business. He formerly was Chief Executive of Republic Media and the Publisher of Arizona Republic and West Group President. Before his time in Phoenix, he served as President and Publisher of the Reno Gazette-Journal, after starting his career in 1977 at The Stockton Record, formerly owned by Gannett. I'm grateful John has agreed to stay on until April to help with the transition, as we seek to better align with our refreshed business strategy. With that, I turn it over to the operator for questions.
Operator: Thank you [Operator Instructions]. Our first question comes from the line of Michael Kupinski with NOBLE Capital Markets.
Michael Kupinski: Just a couple of quick questions. The SG&A expenses were a little lower than what it was trending in the first half. Is this a good run rate going forward? Or how should we look at that line item going forward?
Alison Engel: Let us pull that up. Just for SG&A specifically I'd say, look, we took some cost actions in the third quarter, so it's probably a reasonable run rate. Although we do have a couple of things in 2018 that will be incremental -- small increases, but typically, I think, those run rates are probably fairly accurate.
Michael Kupinski: And then is there a way to identify the digital revenue growth and make it like relative to the digital uniques? And I know that you grew your digital uniques from 110 million to 125 million. I was just wondering is there any way that you can identify the revenue increase related to the number of uniques that you're getting?
Alison Engel: I think that would require us to break out that revenue in more detail than we do because the digital revenue has a lot of different components, some of which is related to traffic, some of which is not. So I think, let Stacy and I take that as a thought starter for future presentations.
Bob Dickey: So Michael, this is Bob. I think, there's a couple of things just to keep in mind though. Obviously, the traffic is driving the programmatic, direct programmatic growth that we're seeing. The national growth we're seeing, which was 24% and our mobile growth was 42%. So there's definitely a correlation to the growth that we're seeing on the unique set.
Michael Kupinski: And to that end, obviously, there's a company out there that combined the newspaper and its TV businesses. And I was just wondering if you would look at that as a possible strategy of you getting back into TV to possibly have a digital component in those local markets to aggregate additional uniques for your USA Network?
Bob Dickey: At this point in time, Michael, I think it's a little too early for us to suggest that would be part of our strategy. We consistently -- or we're very focused now on expanding our consumer side of the business through the great job we're doing with our journalism. And through the digital marketing services business led by our ReachLocal franchise. We believe that's the proper focus for us at this time.
Michael Kupinski: And I was just wondering in terms of your M&A activity given the fact that you were looking at the prospect of getting into some newspapers in certain markets that would add to your network, whether or not if those newspapers were not, let's say, of the pricing or available to you, would you consider going in the other direction and maybe getting a TV in the market to maybe have a digital component in that market?
Bob Dickey: That's certainly a possibility down the road, but it's still early to see where cross-ownership will play. Obviously, that would be us going into broadcast as a standalone. It has its challenges, so I don't see us going -- I think there are other ways we can expand into non-Gannett markets with the USA TODAY NETWORK that would be a far better investment than buying a standalone television station.
Michael Kupinski: And then my final question. Can you give me an update on the legislative prospects regarding shares on Canadian newsprint?
Sharon Rowlands: Yes. Hang on, Michael. We're disappointed that a single domestic newsprint manufacturer decided to use a trade case in these circumstances. We, like a broad coalition of U.S. and Canadian paper manufacturers, as well as other U.S. newspaper publishers, believe that the challenges NORPAC faces stem largely from the product that they typically produce and regional buying patterns. Newsprint producers announced price increases last quarter that are being implemented now. And we continue to manage our inventories and purchasing decisions to minimize the impact of our accretive expenses and that's really all we can say on the matter.
Operator: And our next question comes from the line of John Janedis with Jefferies.
John Janedis: Can you talk a little bit more about circulation revenue trends? Is that down 7 or so the new normal in the context of the price increase? And so given your position as a local market pre-monopoly in many cases, what alternatives are people using in local markets for news?
Bob Dickey: I'll let John speak to the circulation.
John Zidich: So John, with the pricing we've implemented in the fourth quarter -- in the third quarter, especially in September, we believe that the trends in local markets will improve into the fourth quarter and into next year.
Bob Dickey: As to the news question, John. On a print basis, we do not see -- we're not losing customers to other competitors on the digital side. Our -- we're very proud of the fact that, in our local markets, we are predominantly their number one or number two in the news category with our local digital presence. So I think it's still just a question of the consumer behavior continuing to transition from print to digital. But at the same time, as we've mentioned before, we have an incredibly loyal print readership, over 70% of them are seven-day. And to John's point, our pricing actions are off to a great start. And we believe that in 2018, we can see home delivery revenues be pretty much flat year-over-year. That's our goal.
John Janedis: And then maybe separately, just on the cost front, you noted the synergies from last year's local market acquisitions. Are you in a point now where those are largely completed in terms of recognizing them or is there more to come? Like can you give a little bit more granularity on the sources of savings from the legacy portfolio?
Bob Dickey: Well, first, we're not -- we have still a very robust pipeline that we just reviewed a few weeks ago, as we do regularly for 2018. Some of the cost savings were through initiatives that started to roll out this year, late into this year. We'll benefit from '18. We have a number of consolidations that have been planned for a while, as you know these take a few months to get orchestrated. Most of our savings continue to be focused around our printing and distribution side of the business, that's where the large savings continue. We've also seen some additional synergies in our sales and news areas. Those are smaller. We haven't really focused on that. As we've said in the past, we are doing everything to preserve our local sales and local reporting resources, but the network has allowed us some efficiencies. John, anything you want to add?
John Zidich: I think those are the key pieces, Bob. We've done a really good job of actually outperforming on our synergies with the acquisitions, as Bob stated, and we'll still have process against mostly production and distribution that I think will continue into next year.
Bob Dickey: There are some things on the side, also, that are new that we're examining. John made reference to a bit specifically around USA TODAY printing and distribution that, we believe, we can investigate further and maybe rollout in '18.
Operator: Thank you. And our next question comes from the line of Kyle Evans with Stephens. Your line is now open.
Daniel Fritsche: This is Daniel, on for Kyle. We've talked a little bit about those pricing plans implemented in September. And I was kind of just wondering long term what those pricing plans are going forward? And more strategic view of that circulation revenue overall, maybe a little bit past '18? And then how far out into the future could this revenue line be seen as a stabilizer of overall revenue?
John Zidich: Daniel, let me take the pricing strategy that we've rolled out. We've taken a real different look at the components of our business from a pricing standpoint. And in the quarter, we tested 15 markets, focused on both new and infrequent advertisers and put together plans to improve the ROI that they should expect from doing more business with us. In those tests, we saw double-digit increases in the revenue performance per account. Since that, we've rolled out another 25 markets in the quarter and we will rollout the remainder of our markets throughout all of Q4. So we see that this is a -- two things, a way to improve the trends we see with our print advertisers, but as Bob mentioned, too, that as we begin to look at this book of business, thousands of accounts that run primarily print with us and a percentage of digital, it's the best lead source we have to grow our ReachLocal DMS-type businesses. So it's a combined strategy improving the print trend, but really looking at the future as we convert dollars to digital as well.
Bob Dickey: So Daniel, we do believe that on the print pricing frequency program, that this has legs over the next couple of years. As John pointed out, a number of those clients are very loyal to us and with this increased frequency, are seeing even better results. On the circulation side, we believe that over the next two to three years after we go through this initial pricing, we will continue to move our pricing up. And so circulation revenue will continue to be part of our strategy going forward.
Daniel Fritsche: That was very helpful. Another question on ReachLocal. So you posted solid sequential margin expansion there and mentioned that in the remarks and more flow through to margin in 4Q, I believe, is what you said. What is the long-term margin target there for that business?
Bob Dickey: Well, Sharon and I -- are very focused on really top line growth right now. Our future digital strategy rests very firmly on our performance in this key category led by ReachLocal and the team. But we've said in the past, we believe that it's a double-digit margin down the road. So I think you'll see us continuing to move in that direction. We did a nice job jumping from 1.4% to 5.6% in Q2 to Q3. But we're not chasing margin. We needed to be a good contributor. It's really about client acquisition, product development and top line revenue growth. But I think we can sit right around the lower double digit margin over the next year. Sharon, anything to add?
Sharon Rowlands: No. I think you summed it up very well, Bob.
Operator: [Operator Instructions] Our next question comes from the line of Barry Lucas with Gabelli & Company. Your line is now open.
Barry Lucas: You've held the guidance for the year despite the shortfall in print in the third quarter. So I was hoping, Bob, you can maybe point to some bright lights that are giving you the confidence that you can still hit those numbers.
Bob Dickey: Sure, Barry. We will continue, on the cost side, the initiatives we put in place in the third quarter will certainly be fully ramped up this quarter. And so we're -- we know those results and very confident. On the print side, we anticipate that we're seeing, as we just noted, the print pricing program is gaining traction. And we are very optimistic that we'll see a slight improvement from current trends. We're not being overly unrealistic there. Our digital business, both locally and national, remains very positive for us and true to -- due to the fact that our audience growth is very positive. And then when you look at the integration of ReachLocal and our local sales opportunity -- the sales teams, both Sharon and John and I are very optimistic that you'll continue to see our digital marketing services growth in the fourth quarter continue on a very positive trend. So I think, that, and then we will see full benefit of the circulation pricing that was launched in September and we continue to launch others. So I think the combination of those factors gives us a lot of confidence that unless something unforeseen happens, we can meet that guidance.
Barry Lucas: Is there any evidence that the trend in print advertising is, I would say moderating, but it accelerated on the downside? So what are you seeing there?
Bob Dickey: We don't see anything significantly different because our national major retailers trends are -- they are what they are. What we're going to see -- the small uptick that we expect is in our local markets where the pricing program is definitely showing some positive movement on the trends, but it's really in the other areas that we'll need to continue to execute against.
Barry Lucas: Bob, you mentioned just a moment ago that there were some other cost initiatives that took place in the third quarter. Was that -- were those planned? Or that was more in response to the weakness that became evident in the quarter?
Bob Dickey: What I would say, as we've been -- as you know as well, Barry, we are always knocking where the revenues are moving and making adjustments. I would say that, at Gannett, about three quarters of our cost initiatives are well planned out in advance. We have constant commitment to that since the spin and then we adjust accordingly to the trends of the business. But typically, we don't have to do a mad scramble because John and the team do a great job of having the pipeline of projects. As we just discussed, we have reviewed them just the other day for 2018 since the roll out takes some amount of time. So that's just been pretty consistent, standard operating procedure for us. So in the third quarter there were some that are always on the list of potentials that we had to execute against because the trends were a little softer than we had hoped for.
Barry Lucas: Okay, and last one for me. The 2 million shares of [indiscernible] you purchased in the quarter -- the driver of the pricing of stock? Or anything else that you can share.
Alison Engel: We just had an open window and it was a good opportunity to take advantage of it, Barry.
Bob Dickey: As you know, Barry, we continue to believe that Gannett is great value and we have a terrific dividend that we're committed to, and at the current price that we saw a real opportunity for us to get into the market. And as Ali pointed out, we've been very active with acquisitions which knocks us out of the market at given times. So it was a window that made sense and we executed against it.
Operator: And our final question comes from the line of Doug Arthur with Huber Research.
Douglas Arthur: A couple of number questions. Ali, on Table 4 in the press release, you break down digital advertising between external and interest driven. So external digital was down 5.9%, but including intersegment you were up 4.1%. Does the intersegment -- I mean, what is the intersegment? Is that ReachLocal into the newspapers or...
Alison Engel: Yes, it's ReachLocal. I think we talked about it last quarter where we're showing ReachLocal in the local segment, the digital segment and the Publishing segment and then we eliminated in that line item.
Douglas Arthur: So the underlying digital momentum of the publishing group is sort of a mixed bag. I mean, it's down to outside customers. But internally, if you include that, it's up overall. Is that a fair way to look at it?
Stacy Cunningham: Doug, this is Stacy. So the way to look at that if you look at the $98.8 million that was in '16, that included the DMS revenue that we had in -- the digital marketing services revenue that we had on the old G/O Digital platform. So that now is shifting down to the intersegment sales, but you can't look at it that way because some of that $9.9 million is the digital marketing services revenue that we had internally last year.
Douglas Arthur: Okay, and then when you add back facility content consolidation asset impairments to EBITDA, it's $2.2 million. On Table 6, it's $17.1 million. Is that the difference between the cash and noncash portion?
Alison Engel: Hang on, I'm looking at it.
Douglas Arthur: I mean, Table 6 has got a $17.1 million facilities charge. I'm assuming that's just the GAAP charge, it's not the cash add back. Is that a way to look at that?
Alison Engel: That's correct. That is the GAAP number.
Douglas Arthur: And then, finally, is there any updated number on the underfunded pension?
Alison Engel: Yes. I've got it right here, $678 million. That's down about a little over $30 million just from contributions. It hasn't been -- the valuation hasn't been updated, we do that in the fourth quarter.
Douglas Arthur: Because I know currency had been an issue in terms of increasing the liability, was that neutral on the quarter?
Alison Engel: Yes, the currency was fairly neutral this quarter for that. Really, the liability increase has been driven by declines in the discount rate more than currency. But yes, currency is not an effect in the quarter.
Operator: And this does conclude today's Q&A session. Ladies and gentlemen, thank you for participating in today's call. This does conclude the program and you may all disconnect. Everyone, have a great day.